Operator: Good morning, ladies and gentlemen. Welcome to the Cameco Corporation Fourth Quarter and Year End Results Conference Call. I would now like to turn the meeting over to Mr. Bob Lillie, Director, Investor Relations. Please go ahead, Mr. Lillie.
Bob Lillie: Thank you, operator, and good morning, everyone. Welcome to Cameco's fourth quarter conference call to discuss the financial results. Thanks for joining us. With us today are Jerry Grandey, CEO; Tim Gitzel, President; Kim Goheen, Senior Vice President and CFO; Bob Steane, Senior Vice President and Chief Operating Officer; and Greg Assie, Senior Vice President, Corporate Services. We're also joined by our colleague, Lorry Tomas from Investor Relations. First to note, something that we have posted our complete annual MD&A on the website this morning, and of course, filed it on sedar.com and EDGAR.com. To begin, Jerry will offer his perspective on the business results for the quarter and the year as well as updates on our operations and development projects. Next, Kim will update you on our plans to transition to International Financial Reporting Standards starting in the first quarter. Then we'll open the call to questions for the members of the investment community including the media. During the Q&A session, please limit yourself to two questions and then return to the queue. Please note that this conference call will include forward-looking information, which is based on a number of assumptions and actual results could differ materially. Please refer to our annual information form and MD&A for more information about the factors that could cause these different results and the assumptions we have made. On that note, I'll turn it over to Jerry.
Gerald Grandey: Thank you, Bob, and again, welcome to all of you who joined us on this call. As we discussed Cameco's fourth quarter results, review the progress made throughout 2010 and look ahead to the bright future for Cameco within the global nuclear renaissance. The results we report today reflect once again our success in delivering healthy cash flow and net income for shareholders. Longer term, Cameco remains well-positioned to take advantage of the strong fundamentals within the nuclear industry through our strategic goal of doubling uranium productions from our existing assets by 2018. Our ambition for growth will require a substantial capital spending program in the years to come, but if we expect to continue funding this growth on a pay-as-you-go basis. Our consistent financial strength has allowed us to boost our dividend 43% for 2011, reflecting our confidence in Cameco's future and is just one more measure of the ongoing benefit of investing in Cameco. As was the case in 2009, our strong operational performance in 2010 underpinned our financial results. We continue to build a record of robust, reliable production. With 2 million extra pounds produced last year, a 10% increase over 2009, is a testament to our ongoing pursuit of excellence in all our operations. Safe, clean and reliable production is an imperative at every one of our operating sites. We are proud to report that 2010 was a record year for Cameco as measured by our safety statistics. We worked hard to ensure that a strong safety culture permeates the whole organization as part of our commitment to operational excellence. In 2010, the safety record was recognized externally when two of our operations, McArthur River and Cigar Lake won the top awards handed out by the Canadian Mining Industry for safety performance. As important as our increase in safe production was, we were able to produce pounds with lower unit costs than the previous year. At McArthur River and Key Lake, we took advantage of the flux production provision in our licenses to produce an extra 600,000 pounds for Cameco's account. This was achieved in its extensive underground development at McArthur River to ready new areas for future production. At Key Lake, production takes place against the backdrop of ongoing mill renewal. Rabbit Lake is also undergoing mill renewal. At the same time, we continue to develop the underground infrastructure at the Eagle Point mine that will allow production from deeper zones. We now project another two years of mining at the Eagle Point deposit, extending the Rabbit Lake's remarkable history as a uranium producer through at least 2017. Overseas, production in JV Inkai was 13% higher than planned because of the smooth ramp up and better recoveries. Within our asset base as a whole, Cameco's exploration efforts have consistently added to our reserve and resource base at a rate sufficient to replace what we have mined. In 2010, work continued on an exploration drift that is being constructed northward from the existing McArthur River mine infrastructure. From this development tunnel, we will conduct delineation drilling of zones A and B, allowing us to better define this resource. We expect to add more years to the mines' already long life as more of this mineralization is drilled above. Indeed, McArthur River's reign is the world's largest high-grade mine should continue for decades to come. Elsewhere, in the prolific Athabasca Basin, progress is ongoing at Cigar Lake, the largest undeveloped high-grade deposit. At Cigar Lake, we expect to complete the seeking of shaft 2 in 2011 and resume the development of critical mine workings later in the year. In the meantime, our surface freezing strategy will allow a portion of the deposit to be ready for an accelerated ramp up. We continue to project the first pounds coming out of Cigar Lake in mid-2013. At Kintyre in Western Australia, our extensive delineation drilling of the past year will allow the first 43-101 compliant resource estimate to be published later this year. Environmental assessment work at Kintyre continues, while we conduct discussions to secure a mine development agreement with the Martu, the traditional owners in this part of Western Australia. Expansion of existing mines and bringing on development projects that are already in our portfolio is the key to Cameco's Double U strategy. It is from this asset base that we intend to produce an additional 20 million pounds of annual production to reach our goal of 40 million pounds by 2018. In our MD&A, we discussed the milestones that we need to achieve to reach this objective. Besides our strong production portfolio, Cameco has always been a leader in bringing uranium from other sources into the marketplace. We continue to pursue such opportunities. Our recently announced agreement with Talvivaara Mining Company of Finland to extract uranium from and nickel-zinc ore, is an example of our ability to partner with others to access uranium and deliver it to the market. Cameco, of course, continues to be more than just a supplier of uranium concentrates. Our production and revenue from our Fuel Services division this past year is a reflection of again, having full year production capability at Port Hope and the benefit of an ongoing relationship with the Springfields facility in the U.K.. Cameco continues to work with our partner there and with Kazatomprom in exploring the best options to meet the conversion needs of the nuclear renaissance. As time goes on, it's becoming clear to outside observers that this declared nuclear renaissance is not just a fanciable notion of the industry. At the start of 2011, there were 65 reactors under construction across the globe. We expect an additional 104 to be operating in 2020, over and above the 441 reactors now in operation. At least half of these new reactors will be in China, which has more than 25 under construction today. This large number of new reactors means an ever-increasing demand for uranium fuel. With secondary supplies dwindling, this new demand has to be filled by primary mine supply. For those who follow the uranium market, there has been a slow realization that the rather static supply-demand paradigm of the past has changed. A substantial rise in the price of uranium since the middle of 2010 is remarkable. This dramatic movement reflects a wider awareness that new uranium supplies must get developed. The current prices and acknowledgment that new sources of supply will require higher prices for uranium than what the market was willing to provide in the previous three years. So before we open the call to questions, our Chief Financial Officer, Kim Goheen, has an update on the transition Cameco has made to the new accounting rules that govern our business. Kim?
O. Goheen: Thank you, Jerry. Good morning, all. As you are aware by now, the fourth quarter of 2010 marks the end of Canadian GAAP reporting. In the first quarter of 2011 onwards, we will report under the International Financial Reporting Standards, which will include providing IFRS compliant quarterly and full year financial statements for 2010. During our IFRS workshop this past December, we had the opportunity to discuss the impact, adoption of these new financial standards, we'll have on our financial statements. Where do we stand today? First, we have completed our analysis of these accounting effects and quantify the items under IFRS for the three-month period ended September 30, 2010. As was already the case for the quarters ended March 31 and June 30, accounting differences between Canadian GAAP and IFRS are minimal. Second, we have changed our approach to accounting for joint ventures. Previously, we had planned to adopt the equity method to account for our interest in jointly controlled enterprises, such as Bruce Power. The requirement to move away from the current method of proportionate consolidation to the equity method was expected to have come into effect in the near term. However, timing for the new standard remains uncertain. We have decided to continue with proportionate consolidation of jointly controlled enterprises until more information becomes available. Third, in our MD&A today, we have provided our IFRS transition date balance sheet together with explanations of the IFRS-related differences. And finally, the outlook for 2011 provided in the MD&A has been prepared in accordance with IFRS. Generally speaking, these numbers are similar to what they would have been under Canadian GAAP. But most important, I would like to reiterate what IFRS does not change. It does not change the way we set objectives, how we measure performance or our strategy of being a dominant nuclear energy company, producing uranium fuel and generating clean electricity. More information on IFRS can be found in the Investor section of our website under the heading IFRS Transition.
Gerald Grandey: Thank you, Kim. Okay, with that, operator, we'll open the call to questions.
Operator: [Operator Instructions] The first question is from David Snow from Energy Equities Inc.
David Snow - Energy Equities: I'm wondering, I think I had in my notes from a previous conference call that advance or accelerated production from Cigar might, I don't know if it was me or you that said put 5 million pounds into '14 and 10 million pounds in to '15, and I'm wondering, is that possible? And will you update that later in the year with your -- later the '11 technical report including the service freezing strategy?
Gerald Grandey: David, I'm not sure where you got that numbers. We've said it would advance up to 10 million pounds and all of that will be in the technical report.
David Snow - Energy Equities: And is 18 still the longer term?
Gerald Grandey: 18 million pounds is the production objective and steady state, that's right.
David Snow - Energy Equities: And then just could you review the surface freeze strategy, how that accelerates production?
Gerald Grandey: It really decouples underground development from the freezing in the first section of the ore body, so you don't have a lot of the competing demands on the underground infrastructure.
Operator: The next question is from Alan Campbell from Sheung Wan News Agency [ph].
Unidentified Analyst: I want to ask you, you signed two big deals with China last year. How important is China for the future of the company and when are you going to start making these deliveries, please?
Gerald Grandey: I'd say with the construction going on in China in new reactors, dedicated more than 25 currently under construction, quite ambitious goals for 2020 and I think targets well in excess of that beyond 2020. China is going to become, and frankly, already is a very important market to not just Cameco but to all of the suppliers that are out there. So we were delighted to get the first two contracts. When do we announce, I think in June and the other one that follow a couple of months later. With the two bigger Chinese utilities, again total that was 52 million pounds and the deliveries begin this year and next, I think.
Unidentified Analyst: Are you expecting more China investment?
Gerald Grandey: Investment by China in nuclear utility and nuclear reactors or?
Unidentified Analyst: No, into your company for more orders?
Gerald Grandey: I think overtime we would expect to attain additional contracts, supply contracts from China. And frankly, we're looking at expanding the relationships in other areas as well.
Unidentified Analyst: Is there going to be any problem with actually getting the stuff there for transport? Is there any from the various ports?
Gerald Grandey: No. No impediments other than heavy seas from time to time.
Operator: The next question is from Greg Barnes from TD Securities.
Greg Barnes - TD Newcrest Capital Inc.: Jerry, you said you accelerated production while you flexed up production in the comp of this year because you allowed the one to the agreement you have with the CNSC, but what is full capacity at the cost of Key Lake? What do you think you can push out?
Gerald Grandey: I think we really look at that as about 18.7 as not just the license but that with the kind of an expected steady-state rig. And if you're really lucky, then you can mitigate or minimize the time we have to shut the plant down every year for some refurbishment, repair. You can do a little bit better than that, but it isn't millions of pounds greater year-after-year. Until we get this plant to kind of refurbished and expanded, which we're working on through the licensing, and then ultimately with replacement as we're doing now, the oxygen plant and the acid plant.
Greg Barnes - TD Newcrest Capital Inc.: Just switching topics a little bit, do you have any sense of how much Chinese demand has been satisfied by long-term contracts they've put in place with you with the rig or with others?
Gerald Grandey: No. A lot of that, of course, depends on the duration of the contracts. And their own first quarter approach as well as their stockpiling approach, all of which are unknowns in the equation. I would expect, Greg, that they will continue to be active in the long-term market though.
Operator: The next question is from Brian MacArthur from UBS Securities.
Brian MacArthur - UBS Investment Bank: Two questions. Just following up on Greg's, as far as the catch up on McArthur River, where do we stand right now? Because obviously, this last year, you recaptured some of the lost pool and then previously -- how much has left there that you can still catch up on under the contract or the licensing agreement?
Gerald Grandey: I'm going to ask Bob Steane to respond. Bob?
Robert Steane: I think it's about 4 million pounds plus, minus a bit in that neighborhood that we have in our catch up bank.
Brian MacArthur - UBS Investment Bank: And on a totally unrelated topic, it's probably I guess for Kim, but this tax recovery of 0% to 5%, can you just go through it again, exactly what's going on? I know there's some tax pools. I realize there's different tax rates in different countries. Can you exactly break down exactly the pieces of how you get there and maybe give me a guidance going forward 2012 what it might look like? Like when we go through all these pools?
Robert Steane: The pools in sales really are a cash impact, Brian. Big picture here behind it, the bulk of the expenses that you would see in a -- you would expect at the corporate level, interest expense, mid-expense, exploration, those types of them, all of those predominantly reside in Cameco Corp., the parent company. So those are tax-deductible expenses that I can report in my book tax calculation here when I expect to have a reasonable chance of using them in the future, which I do. That swing, and then, that you talked about other jurisdictions that are generating income at lower tax rates, is how we get to that position of such a low overall tax rate. You take the expenses that are in the high tax company and the income is in the lower tax company.
Brian MacArthur - UBS Investment Bank: But how does Bruce work into that? Because obviously, that's going to be higher tax rate, isn't it, or?
Robert Steane: Yes, the Bruce tax rate is in the mid-20s roughly.
Brian MacArthur - UBS Investment Bank: So that's how you do it. It's that differential between that and the other areas?
Robert Steane: Okay.
Operator: [Operator Instructions] Our next question is from Terence Ortslan from TSO & Associates.
Terence Ortslan - TSO and Associates: Spot conversion volume in general was a record high, about 3x, 4x, 5x the amount that typically is. What should we use into -- is that a one-shot deal? Or is it a trend of some sort? Is it the backlog or is it catch up? What exactly is going on in that?
Gerald Grandey: I want to make sure I heard you. You said spot conversion volume?
Terence Ortslan - TSO and Associates: Yes.
Gerald Grandey: Volume? Yes. A little uncertain, I think at this stage of the game. We've noticed that increased activity as well. And remember that a good supply of conversion is likely to disappear in the market in 2013. We've seen the operating issues from time to time at conversion plants and some uncertainty, labor issues and technical issues. I think the utility world is generally becoming more concerned about conversion and conversion supplies and where two years ago there was a lot of conversion, if you will, or deconversion from you have six back Q3 '08, putting a lot of conversion on the market, I think we're seeing less of that. So it may be an anticipation of conversion supplies tidying up in a year or two.
Terence Ortslan - TSO and Associates: Unrelated question from Kazakhstan, do you export or have export anything from Kazakhstan to China? And will you do more in the future?
Gerald Grandey: I'm not sure that we have yet. Bob, you have?
Robert Steane: All other products from our Inkai operation has been gone to Black River and for further processing.
Operator: The next question is from Oscar Cabrera from Bank of America Merrill Lynch.
Oscar Cabrera - BofA Merrill Lynch: My question is with respect to capital spending and specific to sustaining capital. McArthur River Key Lake sustaining capital going down significantly from what you have planned originally in 2010 and this has been basically replaced with higher capital spend in Rabbit Lake. And from what I can see here, in fuel services, should we be expecting this to sustain for the life of MacArthur? Or will you be increasing that to $220 million later on?
O. Goheen: Oscar, really, what we've said in there directly to your question, some of the projects at Key Lake were related to the acid and oxygen plant, which we made very significant investments and in 2010, as those projects get completed, yes, that would reduce going forward. They will likely be replaced with other projects. What we've really said is that the capital levels 575 for 2011 is what you should expect for the next couple of years in that range. Beyond that, really, I'm going to point you to our technical reports as the source. We really don't provide guidance beyond the next couple of years.
Oscar Cabrera - BofA Merrill Lynch: I'm just trying to get if it's two years, that's fine. My second question is with regards to your production at Inkai. The increase in 2011, does that accrue for your 5.2 million of the total of the project, the 5.2 million pounds? Do you need permits to reach these levels in 2011?
Gerald Grandey: Oscar, yes, we do. We need permission from the partner and government to go to 2,000 tons or 5.2 million pounds per year. We're working on that with our partner.
Oscar Cabrera - BofA Merrill Lynch: So Jerry, I don't want to over welcome my statement, but what was the assumption for your production level?
Gerald Grandey: The assumptions in what? One in the guidance here?
Oscar Cabrera - BofA Merrill Lynch: When did you update?
O. Goheen: Yes. Obviously in timing, we expect approvals from our partner and the government later this year.
Oscar Cabrera - BofA Merrill Lynch: Can you give us an idea of what you assume for or putting in the guidance as you put in Inkai this year?
O. Goheen: I don't have the specific date but it would be in the second half of the year. Sometime, we expect to prove well, Oscar.
Operator: The next question is from Ben Elias from Sterne Agee.
Ben Elias - Sterne Agee & Leach Inc.: Just a couple of questions. Could you elaborate on Bruce Power going forward? All the investment needed to keep that up and running, relicensing over the next, I don't know, the long-term plan is?
Gerald Grandey: I recall, Ben, that we are only in the Bruce B units, not in the A units. So these are the four units. Ultimately, they're likely to run through the latter part of this decade before refurbishment is required. So over the next several years, Bruce will be looking at that internally and working with the Ontario government on what that means and how it would be conducted, timing and financing and these kinds of things.
Ben Elias - Sterne Agee & Leach Inc.: So nothing in the next five to six years? Whatever needs to be done will have to be done towards the end of the decade, or?
Gerald Grandey: It'll depend upon the sequencing because the Ontario government isn't going to want all of their nuclear units being refurbished at the same time whether they be OPG's [Ontario Power Generation] or Bruce's units. And of course, there's several other units at Bruce A beyond the one, two, that are being refurbished currently. So all of that is going to have to be sequenced by agreement with the province. And then sorted out in terms of schedule, timing and precisely the way in which the units would be brought back into the market.
Ben Elias - Sterne Agee & Leach Inc.: And I was wondering if you could in your outlook, you did mention higher realized prices in the Fuel Services business. And we know confidence [ph] is trying to push through some price increases that include all kinds of inflation adjustors, to what extent or what is the magnitude of these price increases? And when do they start impacting your business?
Gerald Grandey: Well, it's a competitive market and I guess I just won't speculate on our future prices. We do see it strengthening, which is a good sign.
Ben Elias - Sterne Agee & Leach Inc.: But is it strengthening as you mentioned earlier? There's an impending lack of capacity. You've been impending lack of capacity and you have one of the competitors finally admitting things weren't great and now raising price so that's quite very beneficially used so...
Gerald Grandey: The reality is conversion needs higher prices for reinvestments to be made. We've been saying that for quite a number of years.
Ben Elias - Sterne Agee & Leach Inc.: But you don't need any extra capacity for the extra 20 million pounds?
Gerald Grandey: Well, the two were somewhat independent because we, with our customers, will sell either uranium cost rate [ph] U3O8 or if they want a packaged product, we'll sell UF6 or if they just want conversion services, then we'll sell them the services. So the fact that we produced 40 million pounds a year, some of that may come as UF6 but that depends upon how much we have to sell and the needs and desires of our customers.
Ben Elias - Sterne Agee & Leach Inc.: On cash use, you have about $1.3 billion in cash and equivalents. What are your top three priorities for cash use right now?
Gerald Grandey: Well, we're always mindful of returning cash to shareholders and you saw what we did toward the end of last year with a dividend increase. Kim talked about the capital requirements to achieve the strategy of Double U, and making sure that our assets are operating at a level of excellence that we demand. So there's plenty of requirements within the business for cash. All of this expansion, the Double U will be financed internally. And as I say, we're always mindful of returning value and cash to shareholders.
Operator: The next question is from David Snow from Energy Equities Inc.
David Snow - Energy Equities: I'm wondering, you mentioned that the long-term contract is normally has been over time 13% higher than spot. Right now, it's about at spot. Would you expect the long term to resume that premium? Or spot to come down? Or what's the outlook up in going forward?
Gerald Grandey: David, over the years, I've always seen the long-term price at a premium, not always 13% but that's pretty good as an estimate, I guess. They're better than what? 3x or 4x when they've either converged or actually been in a reverse situation that hasn't lasted very long. And so my own belief here is that the predictability for both the buyer and the seller have a long-term fixed price requires a premium over spot whether that means the spot goes down or the long-term price goes up, I have no idea.
David Snow - Energy Equities: I was wondering, it seems that although you produced a couple of million extra pounds in 2010, you're guiding down from 22.8 to 21.9 in ' 11. What's going on there?
Gerald Grandey: Well, we have the licenses. We talked about the capacity of our mills at Rabbit and Key, as well as what we have in the U.S., at Inkai in Kazakhstan. As we entered 2011, that was the best guess of what we thought we would do in 2011. One always hopes you could do better as we did in 2010. And so we, as you might expect challenge all over our sites to do a little bit better but always being mindful of safety and operational excellence.
David Snow - Energy Equities: I got cut off when I was trying to figure out exactly how the freezing at the surface will interrelate with how it would have been done or how it would compare with how you would've done it in the past. Could you just give me a little more color on that?
Gerald Grandey: Historically, we would as we do at McArthur freeze from underground. The decision was made to try to see if we could decouple the freezing of the first part of the ore body with all of the other underground development that is going to go on to achieve first production. So by reducing the level of activity, putting the freezing from the surface for the first years of production should allow us to accelerate the ramp up of production a little bit.
David Snow - Energy Equities: So the lower [ph] will be frozen down there when you go to start mining it, I guess?
Gerald Grandey: That's the hope.
Operator: The next question is from Greg Barnes from TD Securities.
Greg Barnes - TD Newcrest Capital Inc.: Can I all -- go all the way back to Brian's question on taxes. Do you anticipate your tax rate will climb once the HU agreement expires? I assume that's all done offshore.
O. Goheen: It is held in a foreign sub, Greg, yes. In that single item, if that were the only point going on, yes, the overall tax rate would rise.
Greg Barnes - TD Newcrest Capital Inc.: I guess it's too far out to give us some kind of view?
O. Goheen: Yes.
Operator: The next question is from Orest Wowkodaw from Canaccord Genuity.
Orest Wowkodaw - Canaccord Genuity: A financial question for Kim. Just in terms of the adjustor earnings, it looks like there was a $53 million pretax gain on derivatives in the income statement if I sort of back out the annual versus year-to-date Q3. But it looks like you're only adding back that $16 million to get your adjusted number. I'm just wondering if there's something else there or I'm missing something here?
O. Goheen: Orest, without grabbing the numbers, what we do for the adjusted earnings is on the foreign exchange contracts in particular, we know semi [ph] allocate those between periods as if we were doing hedge accounting. We just don't go through the whole process of formally designating them as hedges. It's not just not worth the process. What you will probably seeing there is some of those contracts, the gains being unrealized under that basis and will come in, in future periods. I think that's what you see in there. Now I've got to talk to you later on the specifics of the numbers but that's my guess for right now.
Operator: [Operator Instructions] Our next question is from Brian MacArthur from UBS Securities.
Brian MacArthur - UBS Investment Bank: I was wondering if you can just clarify, when you're done with this capital spending for the Key Lake and MacArthur revitalization over the next two years, at that point, would you have the operational capability to go to the 22 million pounds all in if you could get the regulatory approval or does some other capital or something else have to be done after that?
Gerald Grandey: Bob?
Robert Steane: The deciding pieces for the Key Lake Northwest all that is a 25 million-pound capacity.
Brian MacArthur - UBS Investment Bank: And will that -- because at one time I was at 22. So you're saying 25 now, is that the capability by, let's say, 2013 theoretically if you could get the license?
Robert Steane: First, we need licenses and approvals, you're right. And that won't be in place by 2013, correct 2015. And then so we would want to move forward, the cash and the debt. The long term and having especially weak applications [indiscernible] permission to increase production to that 22 million pounds. We're looking at the plant capacity, design capacity be available for future opportunities as they arise.
Brian MacArthur - UBS Investment Bank: So if we can't get the 25 in 2013, could we get the 22 subject to approval?
Robert Steane: Not likely, would be inflate by that time.
Brian MacArthur - UBS Investment Bank: And on a secondary issue, in the CapEx spending, there's another category it's other, which is 14 million. Is that Global Laser Enrichment or is there any money be spent on that or where are we with that?
O. Goheen: Brian, that's the Global Laser Enrichment, it will separate debt other would be some corporate costs lumped in there. The GLE is in a separate item. You won't see the capital roll through our statements.
Brian MacArthur - UBS Investment Bank: But how much are you spending on that this year? Is there any budget or anything?
O. Goheen: I'm sorry, Brian, I don't have that on my fingertips. Yes, they will be moving that project forward but I don't have the number for you. Sorry.
Operator: The next question is from David Snow from Energy Equities Inc.
David Snow - Energy Equities: Just to follow-up that up, it sounds like they're going to move forward with that Global Laser project?
Gerald Grandey: David, absolutely. They're continuing with the work to try to design that and do the engineering for commercial operation.
David Snow - Energy Equities: Will there be an update on that sometime this year?
Gerald Grandey: Yes, we'll do that in the various MD&As that we update people.
David Snow - Energy Equities: And there's the increased McArthur River potential of 25 million pounds in 2015, is that in your ten-year plan of doubling uranium output?
Robert Steane: If I may -- Bob Steane. Now I just want to imply, McArthur River would be 25 million-pounds. So we're putting in, in the infrastructure at Key Lake. So the Key Lake mill would have that. The McArthur River deposit, we're looking at the 22 million-pound expansion. So it's a regulatory approval and I'm getting everything in place. But the expansion at Key was to provide opportunity for other deposits or other opportunities should they arise.
David Snow - Energy Equities: So you are putting 22 million for McArthur River and to the ten-year plan or the 2011-whatever mill?
O. Goheen: It will, yes. David, on that event, yes. The higher number, we will be looking after MacArthur going forward. The exact timing, I'm not sure for you here. But yes, we will be looking at a higher number eventually for MacArthur.
Robert Steane: That will be post-2018.
O. Goheen: Yes. I think it's beyond, it's not in -- there is some extra there but it's not by 2015.
Operator: This will conclude the questions from the telephone lines. I would now like to turn the meeting back over to Mr. Jerry Grandey for his closing remarks.
Gerald Grandey: Okay. Thank you very much operator, and likewise to all who took the time to be on the call today. At Cameco, we see a bright future ahead. Our determination to achieve safe, clean and reliable production in our day-to-day operations is delivering solid financial results to all of our shareholders. But planning ahead on a 10-year horizon, we're confident in our ability to deliver on the Double U strategy. We tend to achieve our goal while delivering continued financial success this year and the years that will follow. With that, thanks to all of you for joining the call. Thank you for your support of Cameco, and I wish you a good day.
Operator: Thank you. The Cameco Corporation Fourth Quarter Results Conference Call has now ended. Please disconnect your lines at this time. We thank you for your participation and have a great day.